Operator: Good day, ladies and gentlemen, and welcome to the Simmons First National Corporation First Quarter Earnings Call and Webcast. At this time, all participants are in a listen-only mode. Later, there will be a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s call is being recorded. I would now like to turn the conference over to David Garner, Chief Accounting Officer. Sir, you may begin.
David Garner: Good afternoon, my name is David Garner and I serve as Chief Accounting Officer of Simmons First National Corporation. We welcome you to our first quarter earnings teleconference and webcast. Joining me today are George Makris, Chairman and Chief Executive Officer; Bob Fehlman, Chief Financial Officer; Marty Casteel, President and CEO of Simmons Bank, our wholly owned bank subsidiary; Barry Ledbetter, Chief Banking Officer; and Burt Hicks Investor Relations Officer. The purpose of this call is to discuss the information and data provided by the company in our quarterly earnings release issued this morning and to discuss our company’s outlook for the future. We will begin our discussion with prepared comments, followed by a question-and-answer session. We have invited institutional investors and analysts from investment firms that provide research of our company to participate in the Q&A session. All other guests in this conference call are in a listen-only mode. A transcript of today’s call including our prepared remarks and the Q&A session will be posted on our Web site under the Investor Relations tab. During today’s call and in other disclosures and presentations made by the company, we may make certain forward-looking statements about our plans, goals, expectations, estimates and outlook. I’ll remind you of the special cautionary notice regarding the forward-looking statements and that certain matters discussed during this call may constitute forward-looking statements and may involve certain known and unknown risk, uncertainties and other factors, which may cause actual results to be materially different from our current expectations, performance or estimates. For a list of certain risk associated with our business, please refer to the forward-looking statements captions of our earnings press release and the description of certain risk factors contained in our most recent Annual Report on Form 10-K, all as filed with the SEC. Lastly, any references to non-GAAP core financial measures are intended to provide meaningful insight and are reconciled with GAAP in our earnings press release. These non-GAAP disclosures should not be viewed as a substitute for operating results determined in accordance with GAAP, nor are they necessarily comparable to non-GAAP performance measures that may be presented by other companies. With that said, I’ll now turn the call over to George Makris.
George Makris.: Thanks, David, and welcome to our first quarter earnings conference call. In our press release issued earlier today, we reported record core earnings of $23.2 million an increase of $7.5 million or 48% compared to the same quarter last year, and diluted core earnings per share of $0.76 an increase of $0.06 or 8.6% compared to the same quarter last year. Our core efficiency ratio for the quarter was 58.7% compared to 62.1% in the same period last year. Our core return on assets for the quarter was 1.24% and our core return on tangible common equity for the quarter was 14.13%. Core earnings for the first quarter of 2016 exclude the following non-core items, $56,000 in after tax merger-related expenses and $361,000 in an after tax benefit related to the retirement of certain corporate debt. Including these noncore items net income was $23.5 million in the first quarter and increased to $14.8 million or 170% compared to the same quarter last year. Diluted earnings per share were $0.77, an increase of $0.38 or 97%. On a linked-quarter basis total loan growth was $10.7 million, during the quarter our credit card portfolio declined by $9.5 million in our Ag raw portfolio declined by $11.2 million. Adjusting for this seasonality loans grew by $31.4 million for the quarter. During the quarter our legacy portfolio grew by $226 million, $36 million migrated from the acquired portfolio and $190 million or 5.9% was a result of organic growth. As a result of this increase in our legacy portfolio we added approximately $1.3 million to our reserve. The company’s net interest income for the first quarter of 2016 was $70.2 million, an increase of $17.3 million or 33% in the same period in 2015. This increase was driven by growth in the legacy loan portfolio and earning assets acquired through the Community First and Liberty transactions, including interest income was the yield accretion recognized on the acquired loans of $8.1 million for the first quarter of 2016. The company’s core net interest margin, excluding the accretion was 3.92% for the first quarter of 2016, a 37 basis point increase from the same quarter of 2015. On the core basis we increased noninterest income by $10.6 million or 58% over the same period last year. The increase in non-interest income was primarily due to additional service charge and fee income, mortgage lending and trust income and gains on the sale of other real estate and investment securities. Core non-interest expense was $61.7 million a decrease of $2.6 million or 4% from the fourth quarter of 2015. At March 31, 2016, the allowance for loan losses for legacy loans was $32.7 million with a $1.0 million allowance for acquired loans. The loan discount credit mark was $45.1 million, for a total of $78.8 million of coverage. This equates to total coverage ratio of 1.6 % of gross loans. The ratio of credit mark and related allowance to acquired loans was 3.1%. In our legacy loan portfolio, non-performing loans as a percent of total loans were 1.01%. The increase in the non-performing ratio in the fourth quarter is primarily the result of a single credit totaling $13.5 million. We feel we are adequately reserved for the potential exposure related to this credit. Excluding this credit, the non-performing ratio was relatively unchanged from the previous quarter, at 0.62% versus 0.58%. The 2016 year-to-date net charge-off ratio, excluding credit cards, was 11 basis points, and the year-to-date credit card charge-off ratio was 1.46%. Our capital position continues to remain very strong. At year-end common stockholders’ equity was $1.1 billion and our tangible common equity ratio was 9.7%. Before opening the line to questions I would like to spend a few minutes discussing a few specific items that were announced or completed during the first quarter. Effective April 01st, Simmons First National Bank converted from the National Banking Association to an Arkansas State Chartered Bank. The bank’s name changed to Simmons Bank. Simmons bank is a member of the Federal Reserve System through the Federal Reserve Bank side owners. The charter conversation was a strategic undertaking that we believe will enhance our operations in the long-term. We are strongly committed to operating our organization with a focus on community bank, as such we believe it to be advantageous for our shareholders, customers and associates, to work with regulators who are accustomed to community banks and challenges they face. From February 19th, we merged Simmons First Trust Company and Trust Company of the Ozarks with then to Simmons Bank. We believe this will allow us to offer our trust services in an efficient and consistent manner throughout our footprint. During the first quarter we announced closure of 10 branch locations effective June 30, 2016. We closed in three locations in our Arkansas region, four locations in our Missouri Kansas region and three locations in our Tennessee region. We continuously evaluate our branch network to determine which locations meet the greatest needs of our customers. We evaluate many factors in this process including analyzing market trends, branch performance and coverage area. Branch locations will continue to serve the customer need, but our customers who are transitioning to non-traditional channels to conduct their banking business. Like other banks across the country we must adapt to these changes. We will continue to look for and invest in new and innovative channels to meet the ever-changing needs of our customers. This concludes our prepared comments. We will now open the phone line for questions from our research analysts and institutional investors. At this time I'll ask the operator to come back on the line and once again explain how to queue in for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Stephen Scouten with Sandler O’Neill. You may begin.
Stephen Scouten: So I wanted to talk a little bit about the loan growth, I know you mentioned kind of some of the numbers ex the seasonal effect but it looks like basically with the gross loan balances are basically flat quarter-over-quarter. What are you seeing in terms of trends and what do you think the growth can be for the rest of the year?
George Makris: I will touch it on a high level I might ask Barry Ledbetter our Chief Banking Officer to talk about that a little bit. Stephen what I would tell you is we probably saw more loan payoffs in the first quarter than we had anticipated, some of them were well timed, and Barry can go into that detail a little more. I will say this that January was probably a slow month with regard to new loan generation. The end of the quarter picked up very well, we had a really nice March as far as loan generation goes, but I'm going to let Barry talk about his expectations for the rest of the year and a little bit of pipeline information for you.
Barry Ledbetter: Okay, on the loans again we saw a decrease of the credit cards about 10 million, Ag raw loans about 11 million, we also had probably about $25 million in loans that we would say have a higher risk rate that paid off the last quarter, so that was probably long-term to our benefit with that. Again as George mentioned we did have really good loan growth towards the end of March. We expect that to continue, right now we've got about $161 million in the pipeline, about 35% of that is in Arkansas, mainly in Northeast Arkansas, Northwest Arkansas and Central Arkansas. About 42% of that is in Missouri Kansas region mainly in St. Louis and Wichita and the remainder of that about 22% in Tennessee but it appears our pipeline is fairly consistent and what we’re seeing as far as new opportunities and we'd expect that to continue through the remainder of the year.
George Makris: Stephen let me clarify one thing. When we say in the pipeline, those are approved and ready to fund okay so there…
Stephen Scouten: That was going to be my next question.
George Makris: Yes.
Stephen Scouten: Okay, and then I mean, the pace of pay offs, I mean if you, if your pipeline is that today, I mean if you could see 200 million or 300 million in new production close this quarter I mean do you still, I mean what degree of that do you think can translate into net growth?
George Makris: We're still expecting our annual year-over-year growth, so by the end of the year we expect our loan balances to be about 7% higher than they were last year. As you can tell by the accretion that we had in the first quarter, some of our acquired loans paid off a little earlier than we had anticipated. So there's a trade off there between a little additional accretions income and loan payoffs. So we still expect our loan growth to hit the 7% range year-over-year. The first quarter as always is an unpredictable quarter for us because of our seasonality with credit cards, and Ag raw portfolio and then the unusual play downs this quarter exacerbated that, so second, third and fourth quarter would be a little more normal and we expect to have good loan growth during that period of time.
Barry Ledbetter: One of the positive things we did see in this quarter was the loan growth that came in at March, it was pretty significant compared to January, and February so we saw a lot of growth at the end of the quarter.
Stephen Scouten: Okay, great, great. And then maybe shifting gears one more from me on the expense front, I mean obviously you had some nice improvement there in quarter-over-quarter expense reductions as you guys had suggested last quarter, but what do you think is this current level fairly sustainable or is there anything that being built in that's going to take the cost materially higher from here?
George Makris: We think that this level's fairly sustainable, so we still think 62 million-63 million is a good number, we had good cost controls in the first quarter, now I will say this, our intention is to maintain our efficiency ratio below 60%, so this quarter it is 58 and change. Now we’d like for it to ultimately get to 55 and below, but as long as we are below 60%, we will invest in building out some of our lines of services in other areas. So in the first quarter actually we hired some new investment folks and some markets where we didn’t have that presence. And I consider that an investment, because I didn’t bringing any income with them when they came over. Well we do have some pretty aggressive performance for those folks. I will also to tell you that we have engaged a partner for our DFAS preparation that expense over the next 18 to 24 months is going to be about $2 million. We expect about 150,000 to 200,000 to be in this year. So much of it will be deferred into 2017 and 2018 as that process develops. So we’ll have some investment to make Stephen, but it’s going to be made as we continue to drive our efficiency down.
Operator: Thank you. Our next question is from Brady Gailey with KBW. You may begin.
Brady Gailey: So the 10 branches that you will be closing can you just expand on that have those already been closed or what’s the timing there. And then any idea what the cost savings are going to be realized from the 10 branch closures?
George Makris: We’ve sent the notices out on that, they should close at the end of June and we’re expecting at about $1.6 million in annualized savings on those 10 branches maybe about 400,000 of that all to accrue in the second half of this year.
Bob Fehlman: And that is pre-tax on the net.
Brady Gailey: Okay. All right great. And then as far as the loan loss reserve. Looking at it, I realized the effective reserve is 160, but optically the reserve is 94 basis points it keeps trending down. Do you think that that 94 basis point reserves will continue to head lower or will it stabilize here?
George Makris: Well, the percentage of allowance compared to loans used to be a good measurement for us before all the new accounting rules came in place, and we started having all these acquisitions. So here is the math behind our allowance. As our loans migrate from the acquired portfolio to the legacy portfolio and therefore require an allowance, the only ones that are migrating are those past credits. So we have impaired loans, they’re going to say in the acquired bucket forever. So we don’t have a good blend of past watch and criticized credits moving into that legacy portfolio. Therefore, it’s not requiring those higher levels of reserves that a blended portfolio would have. So as long as we keep moving past credits into our legacy portfolio, the math behind the percentage continues to have downward pressure. So we really had to quit looking internally at what that percentage is and actually we have to take a look at a range based on the quality of the portfolio to determine what’s adequate. I would say that because we still have a fairly substantial acquired portfolio with some good past credits in there, as they migrate over, there will continue to be a little bit of downward pressure on that percentage of our allowance compared to our legacy loans or total loans for that matter.
Brady Gailey: Okay. And then finally just an update on M&A, I know you guys have liked to buy some other banks. So just what the latest is on that effort?
George Makris: Okay. We continue to be very active in discussions with several potential merger partners. I would tell you this we expect to be successful in 2016 with additional acquisitions. I would not expect those acquisitions to close in 2016 with additional assets that would us past $10 million. So we expect to move past $10 million in 2017, but we do expect to have some acquisitions later this year. We’re really focused on filling in some of our footprint in our current forward state area I think I’ve mentioned several times before, that we have some real key markets that we made a larger presence in order to be able to provide all our products and services. So I will mention several St. Louis poverty market for us, we have a team in St. Louis it is doing an excellent job. They’re probably the one market that is really we’re driving our new loan production more than any other. We need to expand our presence in the St. Louis market from a retail perspective. We have East Tennessee which is a market we’d really like and we are acquired for state bank that was a new market for them so we are committed to build out the East Tennessee market. There are several others that we have around but I would tell you that our first priority is to be in market acquisitions.
Operator: Thank you. Our next question is from David Feaster with Raymond James. You may begin.
David Feaster: I wanted to talk a little bit about fee income, your trust business saw a real nice quarter and mortgage was up real nice and we’re heading into the seasonally strong quarter but overall fee income was a little bit disappointing primarily due to that other income line, could you just give us your thoughts on first on trust in the mortgage segments and may be highlight a little bit of what’s going on in the other income line?
George Makris: David on trust, this is the first quarter that you’re seeing all the numbers in from our integration of Trust Company of the Ozarks so we had a nicely lift on a linked-quarter basis based upon the Trust Company of the Ozarks that $1 billion in the trust business revenue, so that comparatively looking one of the big outsets there. As far as mortgage business we’ve had good production we still see good applications, we’re running about 78% purchase and 72% purchase, 28% refi we had a little hiccup at the end of the year in fundings from investors through the true up process I think that was an industry wide experience we are catching up on some of the funding so that also helped the quarter but we expect the production to remain strong, of borrowing increase and interest rates so on the mortgage it is going into the last session and our production numbers at this point look good.
Bob Fehlman: The other income piece was, in the fourth quarter we had a gain on sale of OREO that was the largest piece of it, we also had about $400,000 on other rental income that was the timing difference so as really the fourth quarter was the higher number than first quarter more than time.
David Feaster: Okay so this is a better run rate for that other income line?
Bob Fehlman: I would say it’s pretty close yes.
David Feaster: Okay, I want to talk about your margin, your expectations for your core NIM and your expectations for accretion has it changed at all and I think you said that last quarter you were expecting a $15 million decline in your accretion income in 2016?
Bob Fehlman: First on the accretion income, we had about $8 million in accretion income for the month there is about I’m sorry for the quarter which is about $2.5 million over what our expectations were most of that was the early accretion on and some loans that paid off. Looking forward our expectation again, these numbers are very lumpy for the year, it’s hard to project what pay offs will happen based on our cash flow models right now, we are at about $5 million to $5.5 million a quarter is our expectations. We give guidance that we would be in the $22 million to $25 million for the year we will probably be a little north of that number based on this first quarter being over $2 million so may be $25 million-$27 million. On our core margin we’re 392 it is probably one of the best first quarters we’ve had as unusually lower in the first quarter, part of that was related to the mix in the portfolio, the investment portfolio had a better yield but our expectations for the balance of this year is to be in that 3.90% to 4% range. We would hope in the third quarter when we are at our highest point with our Ag and seasonal portfolio that we’d be closer to 4% level at that point.
George Makris: Hi David this is George let me say one thing in that, one of the numbers I was most pleased with was our core margin for the first quarter as Bob has mentioned it is traditionally one of our lowest ones because of the play off in our credit card and Ag raw portfolios whose yield us quite honestly much higher than our average yield we were a little concerned going into this year with all the number of renewing loans that we had, that we may actually feel some downward pressure on that margin but so far that hasn’t happened. So the 392 for the first quarter are actually up from the fourth quarter in my mind is a very positive statement and I think our guys in the field are doing a very good job. So we’d look for that to continue and if it does that will be a good thing.
Operator: Thank you. Our next question is from Matt Olney with Stephens. You may begin.
Matt Olney: I want to go back to the M&A discussion and George in the past I think you have talked about opportunities in M&A in both fee income and traditional bank but it sound like it’s traditional bank M&A that’s top of mind right now is that fair and if so, remind me of the parameters in terms of ideal size of assets and preferred own back to tangle book value dilution?
George Makris: Okay I would tell you Matt whole bank acquisitions are a priority now because they are the ones available right now. Not that we wouldn’t be interested seeing another trust company or an investment group or an insurance company, we just don’t have as many of those teed up right now as we do some whole bank acquisitions. So ideally for us assuming that it’s not a specialty bank like an Ag raw lending bank. If we're in market we would like to have $500 million in assets we think that's a good size, a good production group and one that can make the transition to resources from a larger bank and let me tell you what I mean by that. So you've got loan production guys who've been willing to go out and call customers with a borrowing base much smaller than what they're going to have once they merge with us. And they have to be willing to go find some new customers and talk to some of their existing customers about additional business that maybe another bank has. So those folks sort of get it and that's good scale for us in existing markets. If we were to go to a new market, say in Texas or in Oklahoma, we'd be looking for $1 billion or more in assets there. We just think that's important as we regionalize our company that we have that kind of a scale in a new region. It wouldn’t necessarily have to happen in market because of our obvious presence here but in new markets that's the case. Now our parameters are this, deals we do have to be accretive to earnings right off the bat. So we are looking for any dilutive earnings, if we dilute tangible book value we won’t earn that back in three years or less. And because today of our -- I hate to term it excess capital but as we've stated before, we'd like to manage our TCE at the 9% or below level, it's a 9.7 today. We're looking for opportunities for acquisitions where we can use a fairly substantial amount of cash in the transaction too. So from an earnings accretion standpoint we would expect that to be enhanced. So are there any other parameters that you had in mind that you want to still address.
Matt Olney: No I think you hit all of them George, thank you for that.
George Makris: Okay, sure.
Matt Olney: And then I also want to switch topics and go to credit quality, I think you said the increase of the non-performance was from pretty much one credit, any other color you can give us on this credit, as far as why migrate in 1Q?
George Makris: I can Matt that was a large manufacturing facility loan that we acquired when we bought Metropolitan Bank, it was impaired at the time we had a large credit mark against it. We had a private equity group come see us about buying that credit from us and we worked out a deal and we actually financed that and we set aside a pretty good specific reserve against that credit when we put it on the books. Well this particular manufacturing company had a large contract with a mass merchandiser that they lost during the first quarter. So when we take a look at their cash flow going forward it doesn't support the credit, so it went on non-accrual. We think we have an adequate specific reserve against this credit and we're currently working with the borrower for a resolution to that. So it really was driven by that one credit, it’s actually better today than it was when we bought it through Metropolitan, it is still a going concern so we're optimistic that sometime in the near future we're able to have a resolution to that.
Matt Olney: Thanks for the color George and that does example, does the private equity firm have a guarantee on that loan?
George Makris: Yes, they do.
Operator: Thank you. [Operator Instructions] And I'm showing no further questions at this time. I’d like to turn the call back over to George Makris for closing remarks.
George Makris: Okay, well thank you all for joining us this afternoon, if you have any questions in the meantime please call Bob Fehlman. You'll have a great day.
Operator: Ladies and gentlemen, this concludes today's conference. Thanks for your participation and have a wonderful day.